Operator: Good afternoon, and thank you for attending the PowerSchool Second Quarter 2021 Earnings Call. [Operator Instructions] I'd now like to pass the call over to your host, Alan Taylor, Investor Relations at PowerSchool. Thank you. You may proceed. 
Alan Taylor: Thank you. Good evening, everyone, and thank you for joining us for PowerSchool's financial results conference call for the second quarter ended June 30, 2021. On the call today, we have PowerSchool's CEO, Hardeep Gulati; and CFO, Eric Shander.
 Before we begin, allow me to provide the disclaimer regarding forward-looking statements. This call, including the Q&A portion of the call, may include forward-looking statements related to the expected future results of our company and are, therefore, forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release and our other SEC filings. 
 Today's remarks this will also include references to non-GAAP financial measures. Additional information, including definitions and reconciliations between non-GAAP financial information to the GAAP financial information is provided in the corresponding press release, which is posted on PowerSchool's Investor Relations website at investors.powerschool.com. In addition, this conference call will be available for replay via webcast through the same website.
 Hardeep will begin with an overview of PowerSchool followed by our second quarter and first half highlights. Eric will then take you through a review of the financials before we proceed to Q&A.
 With that, I'll now turn the call over to Hardeep. 
Hardeep Gulati: Thank you, Alan. Good evening, everyone, and thank you for joining us for our first earnings call as a public company following our IPO. I'd like to start by thanking my colleagues at PowerSchool for their incredible passion, accountability, curiosity and teamwork that has led and will continue to lead our growth. I'd also like to thank our customers for trusting us as a partner in their success, and we are honored to serve the education community. It's a tremendous responsibility, and we're deeply invested in helping you, your educators and your students to realize their full potential.
 We had a great start to the year. The strong business momentum continued into our second quarter, resulting in strong and balanced results. Our highly recurring business model provides us with visibility into our future results, giving us confidence in our ability to continually deliver in a predictable fashion. We generated over $145 million of revenues in Q2, representing 41% year-over-year growth and over $50 million of adjusted EBITDA in Q2, representing 59% year-over-year growth and a 387 basis points improvement in margin compared to the prior year.
 We continue to see growth through cross-sell with ARR growing to over $526 million, representing 31% year-over-year growth. Eric will be providing more details on our Q2 financial results later in the call.
 It was great to meet many of you during our IPO road show, and we look forward to getting to know many of you in the future. As some of you may be new to the story, I'd like to first spend a few minutes to take you through an overview of PowerSchool; second, I want to talk about our growth vectors and then finish up on how these vectors drove growth in our first half of 2021.
 Let's start with the overview of PowerSchool. At PowerSchool, we empower the K-12 education ecosystem of schools, districts and education departments to enable educators, administrators and parents to deliver the best education to every child, allowing them to realize their full potential. What makes us unique? We are the pioneer and the leading provider of cloud-based software for K-12 education market, serving organization representing over 45 million students, including 70% of all K-12 students in U.S. and Canada.
 93 of the top 100 largest school districts in the U.S. are our customers. We also have 30 state province and territory departments of education as our customers. We differentiate by providing what we believe is the most comprehensive software suite for K-12 with our unified platform that not only includes the core system of record, SIS, but also the system of engagement, our classroom products, our instructional products as well as system of intelligence used by school districts and state departments of education.
 Our customers rely on us to help power their operations, instruction, their financials, their compliance and insights to drive better education outcomes. We are the only company that brings together a full market-leading student information system with market-leading classroom tools like LMS assessment, special education and as well as a back office system like ERP talent management and including college and career-readiness solutions under one roof.
 One of the other things which makes us unique is we are mission-critical to K-12. Our customers rely on us for key district and school operations. Take example, if you are among the 19 million students who are using our student information system, the daily attendance, grades, behavior, all the different information the school needs to capture to schedule classes and manage the school operations gets managed in our SIS system.
 If you are among the 19 million students also using our classroom products, we actually manage the learning management through our Schoology LMS, which is one of the market leading LMS products in K-12, as well as our best-in-class formative assessment platform and also our market-leading special education technology. Through our ERP and our talent management, we are providing support for millions of teachers around talent management, recruiting them, onboarding them, professional development for them as well as managing ERP and payroll for many of those school districts.
 30% of the high school students also have access to our Naviance college and career life readiness solution to help them apply for colleges as well as prepare them for life. Our analytics platform actually is deployed around 12 state provinces and territories, managing Unified Insights to help them improve and manage better student outcomes. We are truly invested in -- with our educators around their student success. We believe our breadth of product and scale are unmatched and provide differentiated and measurable benefit to all stakeholders.
 According to a survey conducted by Digital Promise in 2017, 74% of the U.S. school districts use more than 26 different technology products, and only 33% of those districts have integrated a majority of their technology tools. We built our entire unified platform with that in mind, eliminating manual processes, unifying disparate data sources, ultimately driving better teacher effectiveness and student outcomes.
 Today, thousands of our customers are enjoying these benefits by using multiple products across our suite, the likes of Detroit, Seattle, states of Delaware and Arkansas. School districts have steadily increased investment in cloud-based software solutions, and we believe the adoption trend will continue to accelerate post COVID-19. The past 1.5 years has been a seminal moment for education, driving secular step function change in the pace of technology adoption, supported by government stimulus and proposed policy changes, that will continue to drive spending growth in EdTech and in turn, well into the broader technology footprint well into the future.
 We believe this trend towards increased adoption is here to stay. Even more so now, our customers need modern cloud-based unified solutions like ours to operate in this hybrid environment, able to identify and assess the learning exploration opportunities, keep up with the changing regulations and guidance within K-12 education. We are very well positioned to benefit from these ongoing trends and further acceleration from this shift.
 Our broad scale, engagement with all constituents and a single sector focus has made us one of the most recognized and trusted brand in K-12 market. It's still early in the game for us. There is tremendous opportunity ahead of us and to provide more value to our customers and continue to expand our footprint within K-12 education. With that, let me go into our growth vectors. The growth opportunity ahead of us is evident. Our focus is on sustainable, predictable growth through our diversified portfolio of solutions, and we'll capture it through several interrelated vectors.
 Let's start with the TAM. The TAM in EdTech is large and growing. Over $900 billion is spent each year on K-12 education in U.S. and Canada, and this funding has steadily grown over time. External IT spending represents $13 billion and growth in software solution is outpacing the overall growth of education spending. As you know, we only capture a fraction of that opportunity with our current ARR. We have an opportunity to grow the business to a multiple of where we stand today just through cross-selling to our existing customer base.
 As I mentioned earlier, we currently reach over 70% of the students in U.S. and Canada within our customer base. Our average customer today only owns about 2 of our 15 available go-to-market products, and thousands of customers have already leveraged and benefiting from our multiple products. Our sales and marketing team of over 370 individuals, is one of the largest in K-12 EdTech in North America and both organized and incentivized in a way that maximize availability to grow our share of the wallet within our customer and provide more value and impact to our educators.
 Even with 70% of this market reach, there is still a lot of white space in new customers. With thousands of districts we do not reach today to whom we are well positioned to bring our solution. The K-12 market is very large and underpenetrated in North America and globally with many districts either relying on legacy platform or manual processes. We're strategically positioned to grow as schools continue to digitally transform their instructional, administrative and back-office technology in favor of modern-cloud solutions.
 There is tremendous opportunity to expand our platform, both organically and through M&A. Although we provide a broad suite of solutions to our customers today, there is further opportunity to unify the K-12 ecosystem as our customers demand more integrated processes and seamless experience across the technology infrastructure. We have identified several strategic adjacencies that would benefit from our unified approach, and we'll continue to deepen our platform through R&D investments as well as strategic partnerships and M&A.
 We have completed 4 strategic acquisitions over the past 2 years, each of which has driven additional organic growth through cross-sell into our existing pace, and we expect to continue to be very acquisitive in the future. Beyond that, there is future upside opportunity to go well into the future. The international market represents 1.3 billion students and an opportunity to multiply our TAM from the 61 million students, which are our target in U.S. and Canada today.
 We also believe that we are best positioned to deliver upon a true personalized learning solution that brings contextualized, competency-based individualized learning support for every child and further expands our TAM. We stay true to our mission of helping educators and students achieve their potential. Our customers have seen real improvements in academic outcomes, have been able to use our analytics to identify and address learning gaps and improve their core operations, and we are humbled to serve the education industry, especially during these times.
 Let's move our focus to the first half momentum and growth. The funding environment for K-12 education remains robust and has ensured continued investment in technology from our customers and has helped to support the strong business velocity that shows up in our Q2 results. Let me highlight a few of the key things. Our revenue and ARR grew 41% and 31% year-over-year, respectively. We closed over 400 cross-sell transactions in Q2 alone with net retention of 108%. Overall, over 750 transactions were north of $10,000. Over 1,000 customers were engaged with our services team deploying solutions in Q2, including over 800 unique product go-lives. 
 In first half alone, we reached millions of new students through cross-selling our additional solutions. Our customers are continuing to invest in our unified solutions for digital transformation to support operating in this hybrid environment required as well as providing blended learning, identifying learning gaps, and then helping accelerate learning gains with proper interventions and support as well as improving the overall college and career readiness, trends we are seeing even more critical with the current disruptions from COVID and supported by the additional stimulus available to them to support these transformations.
 We continue to support our customers' digital transformation efforts across their front and back office with over 200 cross-sell and new product wins in our student information system, ERP and talent product line. Our SIS leadership, as I mentioned, with over 30% market share in U.S., is key to our success, and we continue to build on that. For example, we recently were selected as a new SIS provider for Epic Charter Schools with around 50,000 students, Lancaster City and many other K-12 organizations. We also see expansion and upsell of our solutions like within South Carolina, a long-term SIS customer across the entire state that grew their deployment by adding our eCollect and enrollment products across the entire state, helping to further bring administrative value to them and their district.
 Within our ERP and talent product line, similarly, organizations like Portland, Baltimore County, Sioux City and several of those have added these products through their deployments. Similarly, the new classroom and LMS adoption is continuing in 2021. We still believe over 50% of districts do not use a true enterprise LMS. Example, just this year, we have added over 1 million additional students to our Schoology LMS at districts like Miami-Dade, Newark Public School, Torrance and San Ramon here in California.
 We were already proud to have the largest single district paid LMS implementation in the U.S., and we will have now the second largest with Miami-Dade, who are the fourth largest school district by student enrollment in the U.S. They selected our Unified Classroom Schoology Learning products to modernize their instructional technology, complementing their existing use of our formative assessment platform, the Performance Matters, which has been deployed for many years across the entire school district.
 Unified Insights, followed by a recent acquisition of Hoonuit, has also performed well above expectations as the K-12 market is seeing the critical need of analytics to help identify gaps and help accelerate learning gains. With over 60-plus customers, including large districts like San Bernardino, Virginia Beach, have selected Unified Insights in the first half of this year to add a layer of data intelligence and transparency to their districts and communities.
 Our recent acquisition of Naviance has been very well received by our customers. We're excited to see integration of Naviance with rest of the PowerSchool solutions, especially our customers of SIS, our Insights and Schoology with Naviance see a real value in high school students by creating a unified experience between their regular coursework as well as their collage and career planning. The business continue to grow post acquisition with dozens of new districts selecting the platform in Q2, including like Salinas and Rialto here in California.
 Beyond that, integration of our organization and internal systems are progressing as planned, and we are seeing the benefits of bringing the 2 teams together. This demand for solutions that help accelerate learning outcomes and improve school operations is evident. Our solutions are filling that need for our customers and are helping to drive real impact within their community.
 We launched our Unified Classroom 2021 relief in Q2, which is the first solution in the market of its kind that connects a learning management tool of our Schoology product along with the full formative assessment-embedded solution, special programs as well as connected deep into our student information system to help educators deliver, personalize whole child instruction. Our products are receiving industry praise and recognition with multiple awards from EdTech Breakthrough as well as CODiE Awards for Schoology, for Unified Insights, Naviance and our entire unified platform. This momentum recognition and the impact we are seeing with the products, customers and people is very encouraging and gives us the confidence in our ability to deliver to not only our 2021, but even our 2022 and future plans.
 In closing, we believe we are very well positioned to continue growth of our leadership position in K-12 vertical software. Although we are very proud of all that we have achieved so far, we acknowledge that this is just the next step forward in serving our customers, colleagues and our shareholders. Thank you for your time and continued support. I'll now turn the call over to Eric to discuss our financial results for the quarter and guidance for the year. 
Eric Shander: Thank you, Hardeep, and good afternoon, and good evening, everyone. Before I get started, I'd also like to acknowledge and thank our PowerSchool team around the world for all they are doing to ensure our platform meets the needs of the educators, administrators and students that rely on our mission-critical products and services every day.
 As I get into the performance of the quarter, I will also be providing a brief overview of our financial model given this is our first quarterly earnings call. Let me first start with revenue. We have 3 primary components of our revenue.
 First, our subscription and support revenue, which is the largest component consisting of Software as a Service fees from our customers accessing our solutions. Our typical contract term length is 3 years in duration, however, they can range from 1 to 5 or more years, and they are billed annually in advance. Our pricing is on a per student per product basis, which aligns with how our customers are funded. We expect this revenue stream to be in excess of 85% of our business, which results in a significant part of our revenue to be predictable, enabling us to make longer-term investments for growth.
 The next largest component is our services revenue, which consists primarily of fees related to new product implementations and customizations and customer training. We expect our services revenue to modestly increase over time on a dollar basis due to the continued growth in our new product sales, which result in additional implementation and training fees.
 Lastly is our license and other revenue, which represents the smallest contributor to overall revenue and consists primarily of onetime perpetual license and partner royalty fees. Given the nature of this revenue, it can be more variable from quarter-to-quarter. I will now turn to our top line financial results.
 Overall, we experienced strong business momentum in the first half of 2021. During the second quarter, we delivered top line revenue of $145.4 million, representing a 41% year-over-year increase. This growth was fueled by our consistent low double-digit organic growth coupled with the full quarter impact of our most recent acquisition of Hobsons, which closed in March of this year. Our subscriptions and support revenue performance was strong, coming in at $121.8 million, resulting in a 37.5% year-over-year increase.
 Our services business continued to deliver for our customers as we completed many of our projects ahead of schedule, resulting in a 35.8% year-over-year growth rate or $16.1 million in revenue for the quarter. We ended the quarter with an annual recurring revenue balance of $526.6 million, which represent a growth of approximately 30.7% over the prior year. This balance includes the impact from our most recent acquisition of Hobsons.
 As a reminder, we define ARR as the annualized value of all recurring contracts at the end of the period. This is a useful non-GAAP metric as it mitigates fluctuations in seasonality, contract term and onetime discounts. Within our ARR, over 75% was generated from our cloud-based solutions, representing the contemporary nature of our unified platform and our customers' desire to embrace the power and value of our cloud-based platform.
 Another metric we evaluate is net revenue retention or referred to as NRR. We define our net revenue retention as the percent derived by dividing current reporting period ARR from renewed and new sale opportunities from customers with existing ARR by prior period ARR. We ended the quarter at 108%, which reflects our customers' ongoing commitment to our software and solutions as well as the ability of our sales team to continue to drive cross-selling opportunities into our existing customer base.
 With the acquisition of Hobsons in March of this year, we started to exclude from our calculation of net revenue retention any changes in ARR attributable to Intersect customers, as this product is sold through our channel partnership with EAB and is subject to annual revenue minimum commitments. Therefore, the business is not managed with a net revenue retention focus.
 Now let's turn to the rest of the P&L. Please note, unless otherwise stated, all references are on a GAAP basis. All non-GAAP financial measures are detailed and reconciled to our GAAP results in the earnings press release that was issued this evening.
 Overall gross profit for the second quarter was $85.6 million, representing a 58.9% gross margin. This compares with a gross profit of $57.1 million and a 55.4% gross margin in the same period last year. The full quarter impact of the acquisition of Hobsons is a large driver of the dollar increase year-over-year. The year-over-year 350 basis point improvement reflects the impacts of our operational and hosting-related efficiencies that we delivered this year.
 Our non-GAAP adjusted gross profit for the quarter came in at $99.6 million or 68.5%. This compares to an adjusted gross profit of $67.3 million or 65.2% for the same prior year period. We believe this non-GAAP measure of adjusted gross profit is an effective indicator of the underlying business economics given the impact that items such as depreciation and amortization, share-based compensation, restructuring and acquisition-related costs have on cost of goods sold.
 From a subscription and support standpoint, our gross margin came in at 72.4% as compared to 69.9% for the same period last year, with the favorable variance being driven by the continued hosting and operational efficiencies driven in 2021.
 Turning to our services business. Gross margins remain relatively consistent year-over-year, coming in at 20.4% for the quarter compared to 20.3% for the same period a year ago. Total operating expenses in the second quarter were $68.9 million or 47.4% of total revenue, a decrease of 308 basis points as compared to the same period last year. A significant driver of this improvement is our revenue growth, demonstrating the scale and operational leverage we are experiencing in our business model.
 We are far along in building out the necessary infrastructure to support our growth while also allowing for the appropriate flexibility to adjust our processes for market changes as they occur. A top priority for us continues to be our research and development investments that drive the innovation and product differentiation that our customers value, resulting in high retention rates and increased cross-sell opportunities.
 This expense will continue to be in the high teens as a percent of revenue. For the second quarter, our research and development expense was $21.9 million or 15.1% of total revenue, representing a slight decrease of 27 basis points year-over-year, which reflects the continued investments we are making to deliver the best possible platform for our customers.
 Our SG&A functions are also scaling to support our growth plan at efficient expense to revenue levels. Our go-to-market capabilities are extensive and given that we already serve over 70% of the student base in the U.S. and Canada, our cost of customer acquisition is very efficient. For the second quarter, SG&A came in at $30.7 million or 21.1% of total revenue, representing a slight decrease of 59 basis points year-over-year, which was primarily driven by lower employee medical expenses and a reduction in our facilities footprint, partially offset by increased third-party expenses associated with our public company costs. Depreciation and amortization was $16.2 million or 11.1% of total revenue, a decrease of 234 basis points year-over-year.
 Our non-GAAP adjusted EBITDA was $50.2 million, up 58.8% year-over-year, exceeding the high-end estimate provided in our prospectus by $1.7 million. This overperformance was driven by the overachievement in subscription and support revenue and $1.2 million of expense, primarily lower cost of revenue and operating expenses. We delivered an adjusted EBITDA margin of 34.5% in the current quarter, representing a 387 basis point improvement versus the prior year, which demonstrated the operational leverage in our business model, coupled with the strong business momentum we experienced in the first half of the year.
 Our GAAP operating income was $16.7 million compared to $5.1 million for the same period last year, representing a significant year-over-year improvement, driven by our overall operational performance. GAAP net loss was $2.5 million compared to a net loss of $12.4 million in the same period last year.
 Turning to our liquidity and cash flows. We ended the second quarter with over $22.5 million in cash and cash equivalents and approximately $1.5789 billion in total current and long-term debt, which included a $95 million revolver due to the seasonal operational cash needs in the quarter. After the completion of the IPO in July, our underwriters exercised the option to purchase additional shares. The aggregate net proceeds from the IPO and the option exercise was approximately $766.1 million.
 We used the net proceeds along with our operating cash flows to repay in full the outstanding balances of our bridge loan in the amount of $320 million. Our second lien term loan in the amount of $365 million, an incremental facility in the amount of $69.1 million, as well as $85 million of the $95 million outstanding credit revolving facility.
 Since this is our first earnings call and some of you are getting familiar with our business cycle, I wanted to highlight that a significant amount of our renewals took place in July, which is when the fiscal budgeting year starts for many of our customers. Therefore, our collections and cash flow generation peaks in the second half of the year.
 During the second quarter of 2021, we had a negative $11.9 million in free cash flow, representing an improvement over the prior year of negative $14.6 million in free cash flow. During the second quarter of 2021 we had $5.6 million in unlevered free cash flow compared to $8.9 million in the prior year period, representing a year-to-year decline of $3.3 million, which was primarily driven by the higher investments we made in our infrastructure of $1.6 million and capitalized product development costs of approximately $2 million in the quarter.
 Now turning to guidance. For the third quarter of 2021, we currently expect to deliver total revenue in the range of $140 million to $143 million, reflecting a growth of 21.1% to 23.7% for the same time in the prior year. It should be noted for modeling purposes, in Q2, we had over a $1 million onetime benefit to subscription revenue due to the release of our revenue provision given the strength of our collections within the quarter. We expect to deliver Q3 adjusted EBITDA in the range of $36 million to $39 million.
 And for the full year 2021, we expect to deliver the following results: Total revenue in the range of $542 million to $545 million, reflecting an annual growth of 24.6% to 25.3%, and adjusted EBITDA in the range of $150 million to $153 million. For free cash flow modeling, I would use an assumed estimated CapEx spending of approximately $7 million.
 Overall, we are very pleased with the progress we have made on our strategic initiatives and performance and the momentum of the business that was experienced in the first half of the year. We are well positioned to continue our growth trajectory as the leading technology provider to enable and address the needs of the K-12 ecosystem as the industry continues to embrace and accelerate its digital transformation. We are confident in the investments that we have made and continue to make to deliver the value and innovation that our customers expect from PowerSchool.
 With that, we're now happy to open the call for questions. Operator, will you please open the line for Q&A. 
Operator: [Operator Instructions] The first question is from the line of Saket Kalia with Barclays. 
Saket Kalia: Congrats on becoming a public company. Hardeep, maybe first for you. I was wondering if you could talk a little bit about the funding environment for K-12 schools. I think you touched on this a little bit in the prepared remarks, but clearly, there's some -- there's legislation out there sort of post pandemic that's been aimed at this segment. Can you just outline the parts that you're personally most excited about? And when you think it might translate into higher spending from your customer base? 
Hardeep Gulati: Sure. So thanks, Saket, again, for the question. As you know, education broadly, spend has been very resilient, even in the most troubled market. But the recent focus, both from a legislative as well as from a stimulus, makes the funding even more resilient and further benefiting the long-term trends.
 EdTech, even though it's a small portion of that overall spend, it's definitely been growing much faster. And in fact, what we've seen, especially over the last 18 months or so, there's been a bigger recognition of how much importance the technology is going to play in providing not just continuity of education learning with different disruptions but also the benefits of tariffs as to how to leverage that for more equitable as well as personalized learning broadly.
 As I mentioned in my comments, we're definitely supporting a lot of districts during the term -- short term in terms of not only helping them with their blended learning environments with our classroom products, but also supporting them on addressing their learning loss, helping them provide the right interventions and support through our analytics and assessment products and our special programs, but then also broadly helping them with the digital transformation of all their back office systems.
 That trends are not just short term. We are going to continue to benefit long term. In fact, the stimulus gives them the support to help manage some of the change management costs, both in the short term as well as in being able to spend that over the next few years. So we do think that the broader stimulus and the focus is already building on our continued momentum. It helps us derisk the growth even further. But more importantly, it allows us to partner with these districts with increased velocity and focus to help them manage their broader digital transformation, which we are in kind of in a unique position given our breadth of the portfolio. 
Saket Kalia: Got it. Got it. That makes sense. Eric, maybe for my follow-up for you. Understanding, we probably won't talk about it in sort of a huge level of detail, but I was wondering if you could sort of talk about the anecdotal performance across the 3 main product families, namely SIS, Unified Classroom and Unified Administration. And whether you think there may be any areas that could be particularly strong this year in terms of growth rate? Does that make sense? 
Eric Shander: Yes. Saket, it does. I appreciate the question. I appreciate the opportunity to certainly address the growth we are seeing. So I think as you look to 2021, I think it's also important to frame it up with what we saw in 2020. 2020, we certainly saw a rotation towards classroom, specifically LMS. As we got into 2021, we really saw a balance across the platform. And we're really, really excited about the growth across all of the product sets. What really excites us, we see -- especially with all of the LMS implementations we did last year, we're now seeing this year a lot of assessments.
 It's the -- schools are getting back in and the teachers and administrators are really looking at assessing the 2020 learning loss. Assessment has been really exciting for us. Analytics, with our most recent acquisition, Hoonuit, has been a really big highlight. But I would just say, as I look across the whole product portfolio, there's really been a nice rebalance across all of our products. I mean certainly, LMS is not growing as fast as it did last year, but it's growing in line with our expectations.
 So we're really pleased with the balanced growth across and I think what we're most excited about is analytics, certainly assessments. And then as Hardeep mentioned with the most recent acquisition of Naviance, we're excited to welcome them into the PowerSchool family, and we're well along our plans in terms of the business plans we set in place for the acquisition. 
Operator: The next question is from the line of Matt Hedberg with RBC. 
Matthew Hedberg: Congrats from me as well on the IPO in the quarter. Hardeep, I think you noted that most of your customers take 2 of your 15 products. I guess for those districts or schools that see some of the highest levels of penetration, can you talk about that aha moment that led to maybe that expansion? And perhaps how that could be replicated across your overall base? 
Hardeep Gulati: Yes. Thanks, Matt, for the comment. As you know, IPO was a big milestone for our company, and we're very excited about the momentum in the first half. To a  broad inclusion, this is what the PowerSchool mission has been is that what we saw is a clear opportunity in the market that while they are being technology niche solutions, there is a lack of unified platform, which brings together and helps connect not just the seamless experience, but in fact, the data and insights to help districts better improve education outcomes.
 As we mentioned, we have grown and we actually serve almost 70% of the U.S. and Canadian students. But what we see is still that on average, our districts are using almost 2 -- a little over 2 of our products, we see as a big benefit to provide districts multiple modules. We already have thousands of customers actually who are using multiple modules. They are customers like Detroit, who recently spoke on our EDGE conference and talked about the value of the unified platform.
 We similarly have tons of other districts who are continuing to expand the platform. We gave an example of Miami-Dade starting with Performance Matters assessment, expanding to Schoology. Baltimore County is a great one, starting with Schoology, buying assessment analytics. We have just -- new charter school association, as I mentioned Epic in my notes, not only selecting on SIS, but actually selecting all the other multiple modules to kind of deploy Unified suite there as well.
 So we see these districts are benefiting significantly from helping them make the experience for the teachers seamless so teachers won't have to navigate through 5, 10 different systems to run a classroom. But more importantly, even from a student and a parent perspective, that you can actually give them the benefit of the full -- whole child view and are able to help things even like grading, making it easier to have it flow through from your learning management into your SIS, whether you're doing standard-based grading, taking an assessment understanding the special needs requirement. Bringing it all together in the whole child view so you can actually -- every educator and every child can benefit from that.
 That has been a big aha moment for a lot of our districts. And that's why you'll see the likes of Detroit, Seattle and many more who are kind of adopting these multiple modules. 
Matthew Hedberg: That's great. And as a parent of a couple of kids that are multiple PowerSchool users, they don't necessarily know that, but we certainly appreciate everything you've done for them.
 I guess, Eric, I mean, I think the growth algorithm is super interesting here. And I think one of the things that's really interesting, you obviously stood at a huge opportunity in North America and Canada, but internationally, I know you touch less than 5% of global students. You have a fairly wide international footprint. I think a lot of them are U.S.-based schools, international schools. But how do you think about the expense allocation to go after that international opportunity. Where does that stack up in sort of your priority list? 
Eric Shander: Yes. So first, Matt, I appreciate the question. Look, we -- given the fact that we're in 70% of the students in the U.S. and Canada today with average customers using 2 of our 15 modules, we've got a tremendous opportunity just to continue with the cross-sell motions and achieve our growth plans for the next several years. Having said that, though, we do look at the international opportunities. We're going to look in -- for the right opportunities and really, the things that made us successful in the U.S. and Canada and replicate those on the international stage.
 So what I would say is it's not -- there isn't a significant amount of international growth that's factored into my long-range planning. But as we look out the next 12, 18 months, we absolutely are looking for opportunities to get into the international stage, but we're going to do it on a very metered fashion because we've got enough growth opportunities with the current regions that we're in.
 Meanwhile, obviously, as we look a few years out, we do know with the international representing 1.3 billion students that we're not serving. If you just think about the math on that is even if we just got a couple of dollars per student, right, even half of the international students, that makes the company a multiple of where it's at. So longer term, international is a nice opportunity for us. But we're going to really be metered in how we look at it and really make sure that we go after the right opportunities at the right time. 
 So what I would just encourage everybody to think about it, it's a little bit on the midrange plan in terms of from an investment cycle and then certainly, a couple of years out before we start to see any kind of meaningful contribution from the international space. 
Hardeep Gulati: Thanks, Matt, especially calling out you being a high school parent, I think this is the -- exactly the vision what we have and the value we're providing, in fact, as every parent and every student and teacher sees that the challenge of dealing with multiple technologies and how that impacts learning as well as improving education outcomes. So thank you for the comment. 
Operator: The next question is from the line of Frederick Havemeyer with Macquarie. 
Frederick Havemeyer: On the -- I suppose the other end of the spectrum back a while ago now, I was a PowerSchool kid, and I believe that in those days, it was -- I think PowerSchool is effectively the entire digital transformation strategy at my public school district. So now coming full circle, it's a pleasure to see PowerSchool in the public markets and be able to actually ask questions to the team that helps my school take its first steps towards being a digital institution.
 So I'd like to begin with a question around M&A. PowerSchool has been clear about how M&A is core to its growth strategy. So I'd like to ask, how do you take the approach to that build versus buy versus partner debate when you find platform-extensive opportunities? And when you think that M&A is the correct move, how do you think about managing both margin and leverage with an acquisition? 
Hardeep Gulati: A great question, Frederick. Great to have you as an ex-user of PowerSchool as you know we've been a pioneer in broader web-based and cloud-based solutions for K-12 for almost more than 2 decades with our solutions on leadership, not just in insurance system, but most of our products, which we have brought into the PowerSchool family like Schoology, like Naviance, they have been around for a long time and they're really the market leaders in each of their segments. So definitely, we have a lot of following, people who have actually used it and who were actually have got the benefit of it.
 To your point, as we look at M&A, it's actually a couple of key factors there. We definitely, as you know, are looking at technologies, which can scale for us, not just within North America, but even international. So our first look at any M&A is always around the strategic fit for the value we are creating for our districts as well as looking through the leadership we can -- in terms of being able to not just address that solution for that particular market, but look at broadly as well as to how scalable that platform is and be able to do that.
 And no surprise, if you look at our acquisitions, even over the last 2 years like Schoology or Naviance, the leadership they have, the platform scalability what they have in terms of able to support millions of students clearly attests to the scalability, but also from the impact to the education outcomes.
 So take example, a lot of our customers who are actually using our student information, our Schoology as well as our Naviance are really excited about our recent acquisition of Naviance because they see that imagine being able to bring the college and career life readiness into the normal course planning so that the kids are able to select the right courses, which will help them towards their goal, but then also being able to have the data flow easily and be able to better engage every child and parent in that process.
 Our districts are commenting that bringing these pieces together will help increase the graduation rates and college application by significant, just by bringing these solutions together. So that's the dialogue we have with more also districts are what are the adjacencies around the entire around whole child, around the entire learning process, which helps our districts achieve better education outcomes, and we continue to expand that.
 Analytics, as you know, has been another acquisition recently, and that was very timely given the focus, not just in short term and learning loss, but broadly being able to understand at-risk kids and being able to provide the right intervention and help and then having the visibility or the longer-term predictability as well. So we have a Oconee County who recently spoke at our EDGE conference, our then helping up not just district on the outcome but also on better operational and financial management across the district as well. So these are all strategic adjacencies as we continue to expand but we do look at from the angle from the product strength.
 In terms of your point about how do we really balance that on the margins as well, given the scale of PowerSchool, both from an infrastructure of one of the big sales and market channel along with our R&D strength, gives us a lot of potential to be able to bring more profitability to these acquisitions, both from a growth top line as well as from a bottom line improvement.
 So pretty much in majority of the acquisitions that we've done, we have been able to have them accretive on growth side as well as been able to have them accretive on the profitability side. That engine allows us to really go after a big spectrum of companies out there. We already have hundreds of partners who are in our PowerSchool ecosystem, and that also gives us a good ability to understand what companies and what products are resonating with our customers and then being able to select based on these different criteria of, again, value to the customer, leadership as well as being able to have them as growth accretive. So how we look at that holistically in our approach about these M&As.
 And some of them, we actually look at buy, build in terms of the investment required for us to organically do it as well as if the technology is not there, then we will organically build those pieces of technology like what we have done with our Unified Classroom components. Hope that helps answer your question? 
Operator: The next question is from the line of Karl Keirstead with UBS. 
Karl Keirstead: Maybe I'll ask one for Hardeep, one for Eric. So Hardeep, Eric mentioned that July tends to be a big renewal period for PowerSchool. So I'm sure we'll talk about it more on the next earnings call, and I'm sure it's reflected in your third quarter guidance, but I'm wondering if you could offer some high-level perspective on how that renewal performance went.
 And then for Eric, Eric it looks like the full year adjusted EBITDA of $150 million to $153 million is above at least what we were modeling by a factor much more than the amount by which revenues are above. So it looks like there is some cost control that may be helping on the adjusted EBITDA side. Do you mind describing that? Is it perhaps less dilution from Hobsons or any of the other acquisitions? Perhaps you could identify the 2 or 3 things that are resulting in that outcome. 
Hardeep Gulati: Thanks, Karl. Why don't I kick it off, and then I'll hand it over to Eric. Karl, to your point about the renewal, generally for any K-12, July, August are typically and going all the way in September are typically the big renewal months given the budgeting cycles. We have definitely been on plan with our renewal cycle.
 As you know, that our solutions are very mission-critical to school districts, right? Without a student information system, you can't take attendance, you can't schedule the classes, you can't report to the state and the federal requirements. Without a special education, you can't be compliant with the IDEA's federal requirement. Or if you are -- the states require a lot of the accountability dashboards, which are coming through our analytics as well as through our assessment and our learning management components and as well as on the teacher management side as well.
 So all these are very mission-critical to the floors the districts need to operate. So they're very sticky. And especially, we have been playing even a bigger role in terms of these districts, even as they are looking at continuing hybrid learning and also being able to manage through the process. So as you can imagine, our renewals are definitely reflective of the ongoing mission criticality but also further benefiting and we've definitely seen that to be a trend, and that's what -- those are reflected on our broader net retention trends of 108% what we shared in the call as well.
 Let me pass it over to Eric, so if he can comment on... 
Eric Shander: So Karl, I appreciate the question and certainly the recognition of the continued expansion of margins. So as we've -- historically, we've always been focused on top line growth as well as profitability. So we do run a very, very efficient organization. And what I would just offer up is some of the efficiency you're seeing is there is a little bit of -- we're slowly coming back to work, not as quickly as we thought we were going to so there's a little bit of efficiency from the COVID effect.
 But then the other areas are we continue to really look across the whole organization and just be mindful of how we're managing our expenses. Some of our public company expenses are phasing in a little bit slower than anticipated. So we do expect to deliver above what we originally anticipated from a margin standpoint.
 But certainly, there are absolutely no trade-offs from a -- investment we're making on our products, investment we're making in our people. It's really just around running the organization as efficiently and effectively as you would expect we would. 
Operator: The next question is from the line of Joe Vruwink with Baird. 
Joseph Vruwink: I wanted to ask about higher ed. Obviously, that market is going through the same evolution and thinking around EdTech adoption like K-12. Understanding higher ed is only about 10%, I think, of your revenue today. But are you experiencing similar levels of growth? And does a transaction actually like Hobsons give you more of an inroad so that higher end becomes increasingly important going forward? 
Hardeep Gulati: Thanks, Joe, and you're absolutely right. We actually do provide talent management solutions for many of the higher education institutes, almost 700 of them. And with our recent acquisition of Naviance, with their Intersect product, we really work closely with hundreds of higher education institutes in helping better alignment on college applications for students and as well as the success and better education outcomes, not just through K-12 but all the way into the higher education.
 So there is definitely momentum for us on the higher ed. And we do continue to look at how we can bridge that continuity more so -- so that way, we can help benefit both our K-12 customer base as well as our higher ed base. So you should continue to see us investing both organically and inorganically in bridging that continuum, which is something which hasn't been addressed by a lot of the vendors out there. 
 And we are in a unique position given our leadership in K-12 as well as our relationship in higher ed to make an impact. 
Joseph Vruwink: And maybe just one quick follow-up. The customer examples you shared are interesting because there's natural pathways a customer can take. I land on special programs or performance matters. Now I'm adding Schoology and Hoonuit. That's an example of 4 core solutions, the average is 2. Do you typically see kind of that evolution where a customer lands in one area, ventures down that natural pathway. And so the intermediate cross-sell opportunity is kind of pieced with these core solution blocks on the way to eventually achieving, hopefully, all 15 adopted solutions? 
Hardeep Gulati: Yes, absolutely. I think when you look at it, there are some natural adjacent season adoption cycles, right? So as we've talked a lot about student information, which is kind of the core system of record for the majority of the K-12 districts, we're not just understanding of the student roster, but also an understanding of how the reporting happens. It's a source of truth for a lot of school district. So it's a mission-critical where everything else in the K-12 typically needs to talk to SIS.
 The role SIS play in K-12 is much bigger than in higher ed given the value of how much of the state requirements as well go into things like grade, behavior, tracking of attendance. So SIS is a very critical system of record for any K-12 organization. So as we look at adjacencies and selling through multiple modules in the platform, the natural -- our biggest cross-sell momentum comes from our SIS customers expanding their footprint to have a learning management or have an assessment, have an enrollment solution as well as integration into the ERP so that they can do a better budget planning as well.
 Now what we are seeing, Eric alluded to the fact we always saw a huge, tremendous growth of LMS last year, not just within our SIS base, but even outside SIS. Miami-Dade is a great example. They're not our SIS customer, but continuing to expand into that base as well, like Miami-Dade. So what we did see the likes of Miami-Dade, likes of Virginia Beach, Fairfax, they have expanded -- Baltimore County. Even though they may not have an SIS, they're also expanding from that classroom into, not just our assessment solution, but also in our talent professional learning so that teachers can be trained better as well as even looking though other components of analytics, which has been a big selling point into these districts so they can better understand student engagement.
 So we are seeing motions of cross-sell from SIS. We are seeing motion of cross-sells from LMS, and as well as we continue to link all the SIS, ERP, talent and classroom together, we're seeing talent and ERP getting pulled into these districts as well. And that's kind of the motions we see across our customer base. 
Operator: The next question is from the line of Brent Thill with Jefferies. 
Brent Thill: Hardeep, just on LMS, I'm curious if you could just drill in -- you mentioned 50% don't use an LMS solution. I guess when you see the attach of Schoology, what are you seeing in terms of the ASP bump and effectively, maybe just give us a sense of -- it just seems like a natural progression. What are you seeing in the pipeline in close time rates on LMS specifically? 
Hardeep Gulati: Sure. Brent, it's kind of mentioned if you look at our historical, we mentioned this in this one, we almost added 5 million students over the LMS over the 18 months period prior to our going public. And that was benefited big time based on also last year immediate need as district had to kind of support more blended learning.
 As we mentioned in the first half, we added 1 million more student. So we are seeing the growth of LMS segment to continue, and we believe districts, as they further realize the importance of how much LMS role plays into an ongoing blended learning as well, not just in a remote or hybrid but even an ongoing blended learning, the recognition is broadly happening.
 There is also the more device adoption, the more adoption of technologies like Google Classroom or Zoom or Teams in the classroom further gives adoption cycle for LMS because once they start adopting it, the next thing is they need an LMS to kind of help manage all that interaction and curriculum as well as being able to understand how the child are doing based on different standards. So that's where LMS growth, we expect it to continue on these healthy leverage of 1 million to 2 million additional students every year, so higher than what we are seeing, even what happened in the past years even prior to the COVID.
 To your point about the attach rates, Eric alluded a little bit to this that we definitely saw a lot of assessment and analytics demand over the first half in the -- not just for our SIS space but also in our LMS space. We gave a few examples of that, Houston Good Reason, Baltimore County, Virginia Beach. These are great example of districts who have taken that adoption and be able to really look at the student engagement holistically because they can't get to understand how the students are doing. How many are attending Zoom. How many are actually engaged -- not just in the virtual or hybrid classroom but actually engaged, and how their achievement is doing. So all that stuff is actually helping us be even high priority.
 So when we look at the pipeline, we look -- we are seeing very healthy pipeline as well as higher-than-normal interest around this. Some of that would happen in the short term. We have districts were immediately trying to address, but we expect that trend to go over the next 3 to 5 years as districts realize even that having these technologies integrated is key to their success to be able to understand the whole child. 
Operator: The question-and-answer session has now come to an end. I will now pass the conference to Hardeep Gulati, CEO at PowerSchool, for closing remarks. 
Hardeep Gulati: Well, thank you again for everyone for joining our first earnings call. And we appreciate the questions, and we'd love to take eventually even more questions. I apologize for not having enough time. But given our first earnings call, we -- hopefully, the overview about PowerSchool, our growth vectors, as was our broader momentum was helpful. As you can tell, we are very pleased with our -- the Q2 performance.
 But what we are also most excited about is our market leadership. We continue to further build on that. Our unified platform differentiators are unmatched, our mission criticality to K-12 has been further validated as well as the growth opportunity we are seeing and continue to project based on cross-sell, net new as well as our continued platform expansion through M&A is further validated by the momentum we are seeing in the first half.
 We are very excited about the opportunity as well as our recent IPO, given how significant that milestone was for the company and every one of our employees. I do want to thank each and every one of my PowerSchool colleagues for their exceptional effort as well as our districts and educators because their partnership is what led us to build what we are today, but also more importantly, help us take this as the first step towards even a longer journey to make education impact for every child. Thank you for your interest in PowerSchool, and I appreciate, again, everyone joining for the call today. 
Operator: That concludes today's conference call. Thank you for your participation, and enjoy the rest of your day.